Operator: Hello, ladies and gentlemen and thank you for standing by for 111 Incorporated Second Quarter 2020 Conference Call. At this time, all participants are in listen-only mode. After management's prepared remarks, there will be a question-and-answer session. As a reminder, today's conference call is being recorded. I would now like to turn the meeting over to your host for today's call, Ms. Monica Mu, Investor Relations Director. Please proceed, Monica.
Monica Mu: Thank you, operator. Hello everyone and thank you for joining us today for 111's second quarter 2020 conference call. On the call today from 111 are: Dr. Gang Yu, Co-Founder and Executive Chairman; Mr. Junling Liu, Co-Founder, Chairman and CEO; Mr. Luke Chen, Chief Financial Officer; Mr. Haihui Wang, Co-COO; Ms. Monica Mu, Investor Relations Director; and Mr. Alex Liu, Finance Director. As a reminder, today's conference call is being broadcast live via webcast. In addition, a replay will be available on our website following the call. The company's earnings press release was distributed earlier today and together with our earnings presentation are available on the company's IR website at ir.111.com.cn. Before we get started, let me remind you that this call may contain forward-looking statements made under the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Such statements are based upon management's current expectations and current market and operating conditions and relate to events that involve known and unknown risks, uncertainties and other factors, all of which could cause actual results to differ materially. For more information about these risks, please refer to the company's filings with the SEC. 111 does not undertake any obligation to update any forward-looking statement as a result of new information, future events or otherwise, except as required under applicable law. Please note that all numbers are in RMB and all comparisons refer to year-over-year, unless otherwise stated. Please also refer to our earnings press release for detailed information of our comparative financial performance on a year-over-year basis. With that, I will turn the call over to our CEO, Mr. Junling Liu.
Junling Liu: Thank you, Monica. Good morning and good evening everyone. Thank you for joining our 2020 second quarter earnings call. I would like to start with a quick note on the coronavirus pandemic. The situation in China has thankfully come under control and the life is slowly returning to some form of normalcy. However, we cannot lose sight of the fact that many parts of the world face an ongoing unprecedented health crisis and a warming recession. We at 111 Inc. continuing to stand in solidarity with the global community in the fight against the COVID-19. Our heart goes out to those who have been affected by this insidious disease, and we express our utmost admiration and the gratitude for the frontline healthcare workers tending the sick, the scientists researching treatments and the vaccines and the essential workers who have kept everyday life running through all. I'm also proud of the dedication, tenacity and the resourcefulness that our employees have demonstrated throughout this challenging period, as to continue to deliver for our clients and to provide essential support to our consumers. Before diving into our earnings, I'd like to first touch on important strategic development that we announced today, and that we have completed the capital injections from new investors to invest an aggregate of RMB419.8 million, approximately US$60.49 million into our principal subsidiary Yao Fang Information Technology (Shanghai) Co., Ltd. at a pre-money valuation of US$1.2 billion, approximately RMB8.33 billion. In addition, it is our intention to pursue a listing of this principal subsidiary on the Shanghai Stock Exchange's STAR Market. You can find our recap of this announcement with details in Section One of the deck. We feel that this move brings many strategic advantages because -- firstly, that will bolster the company's resources to invest in and pursue opportunities for rapid expenses. Secondly, will enable us to pack into new segments of China's capital markets and attracting domestic investors who want to participate in the vibrant healthcare sector and the company's growth. Thirdly, it will further strengthen our brand as we broaden and deepen our partnership with various stakeholders and the leading domestic pharmaceutical companies critical to our success as omni-channel enabler. Fourth, it was solidify 111's leading position in China's digital healthcare ecosystem. And finally, it will realize the valuation that reflects the strengths and the phenomenal growth prospects of 111. While we are excited and energized to pursue this opportunity, we're firmly committed to our listing status on NASDAQ, which will be complemented by our subsidiary listing in China, having our ADS listed and traded on NASDAQ has allowed the company to access global capital markets and to maintain a profile that will continue to help us build partnerships with world-leading pharmaceutical companies in their drug commercialization effort in China. Now, I'd like to move onto our second quarter earnings, and you can find the details in Section Two. I'd like to provide an overview of the company's business and operational performance in this quarter, then handle the -- to our CFO, Luke, for the financial review and a guidance for the third quarter before opening the call for Q&A's. We believe we have a winning formula in our four prolonged strategy outlined on slide eight. This is evidenced by our tremendous growth since the IPO summarized on slide nine. Moving onto the overall financial and the business performance. In this quarter, we'll have kept up this strong momentum to deliver net revenue of RMB1.622 billion, up 93.5% year-over-year and gross profit doubled over the same period last year to over RMB 85 million, with non-GAAP net loss continuing to narrow from 10.1% of the last year to 4.9% as a percentage of net revenue, another step closer to profitability. Our multifaceted growth strategy is driving robust performance across all of our business segments. In our B2B segment, revenue grew by 113.7% to RMB1.39 billion. We're continuing to lead with the most expensive pharmacy network in the country, covering over 50% of the total drug stores in China. In the quarter, the alliance expanded to 280,000 retail pharmacies, an increase at 47% year-over-year On the back of a wider network and a strong consumer demand, pharmacy orders saw an increase of 188.6% over the same period last year. Underpinning this growth in orders and revenue are several services and capabilities designed to better meet customers' needs and enhance their stickiness with us. One, our unparalleled supply chain management system that helps our customers to reduce inventory turnover days, and enhance product sourcing and assortment. Two, supply chain financing services that frees up cash flow for our customers and help them achieve greater operational efficiency. Three, virtual consultations through our online hospital and e-prescription services that enable a retail pharmacist to fill a drug prescription seamlessly for patients. Four, a partnership with Meituan that allows our pharmacy customers the ability to open an online store via 111's 1 Drug Express on meituan.com. Our retail pharmacy customers benefit from an expanded customer base, enhanced the traffic, increased sales and access to Meituan's delivery capabilities. In turn, we gain more data on consumer demand and the purchase behaviors, which helps us improve our machine learning capability to better serve our pharmacy customers and ultimately further their stickiness with us. In our B2C segment where the lifetime value of a customer is largely driven by a recurring services such as online consultations and e-prescriptions. In its quarter, service revenue grew by 46% year-over-year to RMB6.2 million, while product revenues showed steady growth over the last two quarters, supported by our best-in-class CRM system. We serve patients with chronic diseases with a refill rate existing -- exceeding 60%. The value of our services to patients continues to grow as we add breadth and depth to our offer. The number of strategic partnerships we have formed with domestic and global pharmaceutical companies continuing to grow, up 180.9% to 259 in the first half of 2020. In addition to direct sourcing, which lowers prices for end consumers, these partnerships also bring to our patients the latest innovations in pharmaceuticals. We provide omni-channel support to our strategic partners in their drug commercialization efforts, with services such as brand and product promotion, patient education, and customer analytics and pricing monitoring. These services have shown only promises as seen from the encouraging results of two of our multinational partners, Eli Lilly, Lilly's diabetes drug Trulicity and Novartis' Cosentyx. Both drugs are blockbusters in their respective categories. We are confident that we can help them achieve their potential in the Chinese market. Driven by the strong demand from the pharmaceutical product online retailers, revenue for our E-Channel segment grew by 112.8% year-over-year to RMB64 million. While the number of orders increased by 216% over the same period last year. As we grow this network of partners, we expect revenues for this segment to continue its upward trend. We also believe that the strength of this segment will further enhance our ability to support our strategic pharmaceutical partners in their drug commercialization efforts by providing them an additional proven digital platform for sales. Beyond our three core segments, we are continuously exploring new strategic opportunities that can leverage our existing infrastructure while depending our core competency in digital healthcare. In particular, we believe that helping patients in ongoing diseases management and not just the one-time treatment presents a vast opportunity both in terms of improving health outcomes and the fulfilling of tremendous unmet market need. In a country of 1.4 billion people we cover a billing of -- with over a 1.4 billion people who living in Tier 3 to 6 cities with insufficient access to healthcare, we believe that our mission to digitally connect patients with drugs and healthcare services will meaningfully impact the lives of many. And we are well-positioned to do so with our expertise in cloud-based supply chain management, AI, analytics, and an omni-channel drug commercialization platform that brings together retail pharmacies, online and retail platform partners, doctors, and the pharmaceutical companies in service of patients who otherwise can't get quality care in their localities. Virtual medical consultations and in-home drug delivery clearly provide tremendous value for hundreds of millions of patients across the country. But the power of this model will only be fully realized then extended beyond today's focus on treatment of minor ailments to a support system for patients, particularly for ongoing management of medical conditions. We at 111 have committed to building the capability and offering for this comprehensive healthcare management model, one that allows us to take a comprehensive view of each patient. The benefits such a model to both the patients and our company are affirmed by the recently announced merger between Ali Health and Longo [ph]. As proof of our belief in and commitment to this opportunity, we recently launched in Shanghai the Lung Cancer Patient Care Program for holistic management of the disease. The program, spearheaded by the China Primary Health Care Foundation, offers diagnostic and treatment services and resources for lung cancer patients. Delivered via a full life-cycle doctor-patient interactive platform to be established and operated by 111, patients can access disease education materials, medication guides, online consultation, follow-up consultation and clinic visitation. So far, the program has attracted the participation of 20 domestic and international pharmaceutical and medical equipment companies with an interest in lung cancer. As we further strengthen our digital healthcare infrastructure, we bring ever-greater value to our stakeholders as shown in slide 16. One, for the pharmaceutical companies, for whom we provide drug commercialization support our data driven cloud-based system allows for better targeting and profiling of patients, so that more personalized products and the services can be delivered to them, resulting in faster updates of new drugs and greater commercial success. For our retail pharmacy customers, our AI-based a smart sourcing system, machine learning capability, and cloud-based e-prescription service translate into more effective sourcing and a better inventory management, leading into greater cost efficiency, optimal product assortment, and a broader market reach. For our marketplace merchants, our business intelligence portal server provides a real-time picture of sales, delivery status and the customer feedback, all of which are critical for superior sales management and higher customer satisfaction. Clearly, when our customers succeed, we succeed also, but our digital capabilities also provide a more direct benefit to our operations. Empowered by these industry leading tools, our business development team is able to provide better service to prospects and customers alike, achieving higher conversion rates and the customer loyalty. In conclusion, our results in the first half of 2020, once again, demonstrated the power of our technology enabled an integrated model and the effect of when it's about discipline execution. Looking forward to the rest of the year and beyond, we're continuing to stay focused on executing against our four growth pillars to deliver long-term value to our shareholders. With our strengthened financial resources from the capital injection we will have a greater ability to seek out and capitalize our strategic market opportunities, further strengthening our leadership in China's digital healthcare markets, accelerating our growth and expediting our next phase of expansion. Thank you. With that, I'll pass on the mike to Luke.
Luke Chen: Thank you, Junling. Moving to the financials. You can see the details for the second quarter of 2020 in section three of our presentation from slides 18 to 20. I would like to highlight a few key business and financial matrix and our focus on year-over-year comparisons. All numbers are in RMB unless otherwise stated. Let's start with our performance for the second quarter. Total net revenues for the quarter grew 93.5% to RMB1.62 billion, which was driven by the continued strong momentum across all business segments. Our B2B segment revenue, which includes product revenue and service revenue, grew 113.7% to RMB1.39 billion. The strong growth in B2B segment was attributed to the increase in number of pharmacy orders, which reached 557,000 with gross rate at 188.6% year-over-year, as well as the newly added pharmacies in our network. Our B2C segment revenue also include product revenue and the service revenue grew 6.4% to RMB167 million, among which our B2C product revenue grew 5.3% to RMB161 million for the quarter while our B2C service revenue grew 46% of total quarter. The increase in B2C service revenue was mainly due to the increase in our digital marketing service provided to the pharmaceutical companies for the patient education and management. Our E-Channel segment revenue grew 112.8% to RMB54 million for the quarter, which was mainly driven by the strong demand from pharmaceutical product online retailers. Overall, our gross profit grew by 101.3% to RMB85 million and combined gross margin was 5.2%, up from 5% a year ago. Compared to the same quarter last year gross margin in our B2B segment was 3.2%, up from on 1%. Our B2C segment margin was 12.1% -- 21.1%, up from 20.9%. And our e-commerce segment was 6.9% similar to last quarter. The improvement in gross margin was directly related to our improved business scale, our smart pricing and assortment management as well as our sourcing capability. Total operating expenses for the quarter were up 24.2% to RMB177 million. As a percentage of net revenue total operating expenses for the quarter was down to 10.9% from 17.1% as we continue to improve our operating leverage and optimize our operational efficiency. Fulfillment expenses as a percentage of net revenue for the quarter was 2.7% down from 3.3%. Sales and marketing expenses as a percentage of net revenue for the quarter was 5% down from 9% in the same quarter of last year. G&A expenses as a percentage of net revenue for the quarter was 2.4% down from 3.4% in the same quarter last year. And the technology expenses accounted for 1.1% of net revenue down from 1.5% in the same quarter last year. As a result, non-GAAP net loss attributable to ordinary shareholders for the quarter narrows to RMB78 million as compared to RMB85 million in the same quarter last year, which accounted for 4.9% of net revenue down from 10.1%. As to the guidance for the third quarter 2020 on slide 22 of section four, the company expects total net revenue to be between RMB2 billion and RMB2.17 billion, representing a year-over-year growth of approximately 80.1% to 95.4%. The above outlook is based on current market conditions and reflects the company's current and preliminary estimates of the market and operating conditions, as well as customer demand, which are subject to change. Please refer to slide 24 and 26 of section five for our selected financial statements. A quick note, our cash provision as of June 30, 2020, we had cash and cash equivalents and restricted cash of RMB743.5 million compared to RMB697.7 billion as of December 31 of 2019. This concludes our prepared remarks. Thank you. Operator, we are now ready to begin the Q&A session.
Operator: Certainly. [Operator Instructions] We have a question coming from the line of Bingyu Chen from Citi. Please go ahead.
Bingyu Chen: Hello. Good morning. Good evening. And thanks for taking my question. I have three questions. First of all, we noticed that the company has established a full lifecycle doctor-patient interaction platform for lung cancer patients. And what's the read in development, how you value this platform and will this model be replicated to other diseases, different depression. And the next question is about -- we saw that the B2B segment is developing rapidly and what's the reason behind and how will you maintain that relative momentum going forward? And the last question is about the -- how you applied as a pre-money valuation of about US$1.2 billion for the Yao Fang Technology, while your market cap of the parent company is around the US$515 million. Thanks.
Junling Liu: Okay. Thank you, Bingyu. I think I'll take on the first question. Yes. In July in Shanghai we have launched the lung cancer patient care program. The Chinese name for that is called [foreign language]. We launched the program together with China -- China Primary Healthcare Foundation, and the platform offers the diagnostic and the treatment services for cancer patients. And it has a full lifecycle doctor-patient interactive platform and the platform will be operated by 111. On this platform, patients can access disease, education materials, medication guides, online consultation and follow-up consultation, clinic visitation, et cetera. Although, it is at very early stage, it is showing great potential. The feedback from the doctors who are using the platform said great things about it. And they feel pretty excited by it. And of course, the launch attracted many pharmaceutical companies and so far 20 domestic and international pharmaceutical companies and the medical equipment companies showed very strong interest. And of course, this is our first step in building this doctor-patient interactive platform. And it will be replicated into other disease types. And we feel very excited by it. And this links back to the digital platform we're building and -- which ultimately goes back to our mission statement, which is digitally connecting patients with drugs and the healthcare services. So, I'll pass on the mike to Harvey for the second question.
Haihui Wang: Yeah. Second question regarding the B2B growth, I think basically the B2B developing pretty good. The growth is mainly coming from -- I would say from the tool path. One is our digital marketing capability. The other is the enhancement of our supply chain. And for the digital marketing side, we can see we are offering a total solution to pharmaceutical companies to commercialize their drug through our digital marketing tools. For example, enable our B2B clients with cloud-based digital services, such as cloud pharmacy services, cloud clinics and cloud imagery and cloud CIM. We also develop the Hawkeye and Turbo tools to use fixed data and internet technology to do that mechanical for our sales task force to acquire new, more customers, to activate existing customers, and also improve BAU [ph] and ARPU, especially in the lower tier cities, which contribute to a major part of our B2B sales volume. And on the supply chain side, we are getting more and more direct sourcing from our partnership from -- with both the pharmaceutical company and also our enhancement -- our continue investment on our logistics network help us to provide better services to our B2B customers. Last but not least as Junling just mentioned, we also provide supply chain financing services that freed up cash flow for our B2B customers then help them achieve greater operational efficiency. Thank you.
Junling Liu: Yeah. Just -- look, let me answer the question on the pre-marked -- pre-money valuation of US$1.2 billion, we believe currently we are significant under valued with our market cap around like 500 million in NASDAQ. So, this pre-money valuation of US$1.2 billion is similar to when we got listed back to two years ago in September of 2018. But if you look at our business size is more than doubled in fiscal year 2018. We had -- the company has net revenue around RMB1.8 billion. And in 2019, we achieved net revenue more than close to RMB4 billion. In the first half, six months of 2020, we already achieved net revenue of RMB3.2 billion. So, we were more than doubled the business size. And we are very happy to see that those investors are fully recognized our value and have confidence in this company. And we are very excited to complete this model of financing. Hope we answered your questions.
Bingyu Chen: Yeah. Thank you so much. Thank you Junling, Luke and Alex. Thank you so much.
Junling Liu: Thank you.
Operator: We have the next question coming from the line of Sherry Yin from JPMorgan. Please go ahead.
Sherry Yin: Hi. Thank you for taking my question and congratulations on the great result again. This is Sherry from JPMorgan. I have two questions. The first question is about our STAR Market IPO plan. Could you share more about expected IPO timelines and potential strategic plan change after the capital raising? And my second question is about the E-Channel business segment. We saw this segment maintained a very outstanding growth, both in the first quarter and second quarter and also very stable margin. Could you help us understand what's the market outside of this segment -- gross margin trend compare with our B2B business in the long-term? Thank you.
Junling Liu: Yeah. Thank you, Sherry for your question. First of all, with regard to the timeline, obviously, we need to meet the Chinese regulatory requirements. And I would encourage you to refer to our press releases as we continue to disclose the progress of the process. And with regards to the strategic plan, obviously, our strategy has been very clear. We've -- this new round of financing, obviously we are very, very competent to continue to execute on the strategy. And we found the extended reach to the domestic market. That's going to put us in a better position and the money will be well spent on innovative technologies, will be spent on our supply chain capabilities to really further generate more growth of our business. I think there's another part of the question, Harvey can take on.
Haihui Wang: Yeah. The question regarding e-channel, you just mentioned, we have seen a very good trend on this e-channel business growth. The reason I think is that more and more pharmaceutical companies are leading to authorize us as a sales channel for its e-channel management to elaborate this business model the pharmaceutical companies. We are science -- strategic collaboration with that. And then we deliver a well-designed service packages to these business partners, including very important inventory management, as well as the price management with that, especially for the online business. We have now extended our customers to almost all mainstream online drug sales platforms. Through our supply chain and our price management PIS system, we help our customer, also pharmaceutical company to better control their inventory turnover, and also better monitor and manage the price in each online sales platform visits -- the price management a lot, as you can imagine, because in the online sales platform, it is very difficult to better control price, but we have a tool called PIS system. We can real-time monitor the price changes and to see any discrepancy. And we believe the strength of our e-channel services will further enhance our ability to support the strategic partnership with a pharmaceutical company and their job commercialization efforts by providing them a telco solution on a new digital platform for them. Thank you.
Sherry Yin: That's very clear. Thank you.
Operator: We have -- the next question coming from the line of Xipeng Feng from CICC. Please go ahead.
Xipeng Feng: Hi. This is Xipeng Feng from CICC and thank you for taking my question. Actually I have two little questions. And my first one is about the company's digital capabilities. Well, I see that the company keeps strength in the digital capabilities in some ways, such as, digital marketing and other digital healthcare infrastructure. So, could you please share some more insight on this field? And this is my first question about the digital capabilities. And my second question is about your subsidiary Yao Fang. I noticed that you mentioned about Yao Fang. So, could you please share some more color on these subsidiaries, including its main operating business? Besides I also wonder why you guys choose to be listing under STAR Market instead of Hong Kong market. Thanks.
Haihui Wang: Okay. This is Harvey. I'll take the first one on the digital capabilities. Our digital capability including digital marketing -- and there are several part of it. We enable pharmaceutical companies, most services like cloud TTP services and digital marketing services, and so our customers like those B2B pharmacists. We provide cloud based services. For example, 1 Drug Express that Junling just mentioned, our partnership with Meituan and our cloud pharmacists services, cloud imaginary services and other cloud clinics services and cloud CIM. For our marketplace partners, we provide them business intelligence portal. And for the internal stakeholders, as I just mentioned in previous question regarding B2B, we have our Hawkeye system, our Turbo system to help on our salesforce to commercialize those drugs from pharmaceutical companies. With all its distance, we have put up a robust mechanism on drug commercialization of both online and offline channels, which we believe we will create great value for this industry and replace the traditional drug sales processes, which require very heavy investment on manpower, a very heavy investment or marketing dollars, and also having investment on inventory.
Unidentified Company Representative: The second question, Yao Fang is wholly- owned subsidiary of 111. And why we choose the STAR Market instead of Hong Kong, first of all, we all know that the STAR Market has been very tough since its launch. It features some of China's most technology companies. So, that means the STAR Market will allow us to tap into new capital resources in China capital market and provide opportunities for domestic investors to participate in rapid growing health sector, especially investing in transformative innovative companies such as us. Certainly, we also mentioned that we're committed to maintaining our service in NASDAQ because we believe that it do have a global brand, it give us very rigorous corporate governance that allow us to partner with multinational pharmaceutical companies for their commercialization -- drug commercialization efforts. Why not Hong Kong? We believe that the STAR Market will provide direct access to local capital to support our China operation. And also we saw that -- we would believe that the STAR Market is excellent source of cash to fund out our communities in China. Second, we feel that valuation is relatively attractive, although there's no guarantee. But we have seen that the change and the past successes of other companies like us. And also we believe that the STAR Market listing will allow us to raise our profile with our business and investment community in China and the foreign region. Hope that answers your question.
Xipeng Feng: Okay. That helps a lot, and very clear.
Junling Liu: Thank you.
Operator: The next question coming from the line of Andrew Lamb from Mitsubishi [ph]. Please go ahead.
Unidentified Analyst: Hi, management. Just wondering you can hear me well.
Junling Liu: Yeah.
Unidentified Analyst: Yeah. Great. Sure. So, yes, thanks for taking my question and congratulation on the great results. I just have one question. I wanted to understand the key driver of the increase wallet spending for pharmacies for your B2B business. To my understanding the logic is when you have increased the number of pharmacies, in terms of the wallet spending or the average orders vary, should be quite scalable as you just are penetrating into more products or more volume growth. Is there any underlying key drivers, for example, the increase in wallet spend depends on the SKUs you have available which again goes down to the number of cooperating upstream drug manufacturing partners that you have, is that increasing and the rational of that is, is this kind of like a margin -- margin side of kind of control. So, yeah, this is my question. I have explained it well.
Junling Liu: Okay. Andrew, let me take the question. I think one of your assumption is valid and that is, the SKU, we are offering more and more SKU to our B2B customers. And furthermore, we are not using the traditional supply chain model. Actually, this is a brand new so-called supply chain model. We call it, JVP2 bottom [ph] model, and we have various supplier. Those suppliers, they join the JVP program and they join the program -- each of them bringing thousands of SKUs. So, these programs help us to quickly expand our SKU with very promising modeling and efficient inventory turnover. So, with this JVP program, we have brining about 30,000 SKUs which is help provide a much business support selections for our B2B customers. And furthermore, as I mentioned previously our digital marketing capability also help us to improve the wallet share of our customers. For example, we get the so-called -- we help pharmaceutical company to commercialize their drugs and our sales task force will get a much better -- we can get a much better price from the pharmaceutical companies through direct sourcing. So, we also so-called a good price follows B2B customers. And so, they don't have to buy from traditional channels probably already goes through three or four layers. And furthermore, supply chain finance -- financing services also help our B2B customers to better manage their cash flow and help them to buy more from us. I hope answer your question.
Unidentified Analyst: Yes. Yes. Yes. That is great. Yeah. No. I have no more questions. Thank you very much.
Junling Liu: Okay. Thank you, Andrew. Next, operator.
Operator: Next question is from John [indiscernible].
Unidentified Analyst: Hi, management. This is John from Rice Capital [ph]. Congratulations. Just a small -- two small questions. One, I noticed that your -- I noticed that your cost of goods sold continued to -- the percentage continue to trend down as well as your fulfillment expense ratio, very impressive. Wanted to sort of a gauge -- and this fulfillment expense ratio continue to go lower, or are we close to -- are we close to being almost as efficient as we possibly can? And in terms of being able to breakeven, how does this translate towards the eventual profitability for us? And the second question, could you sort of elaborate a little further on collaboration with Eli Lilly and whether or not sort of the basic business model for me. Thanks. Thanks very much.
Unidentified Company Representative: Okay. So let me first talk about the cost. So, first of all, talk about fulfillment cost [technical difficulty]. Why it’s improved? We have been doing pricing management. The fulfillment cost reduction comes from several -- many factors. One is that our scale has been doubled almost every year and the economy of scale [indiscernible] investment -- technology investment have been doubled it. So, that's certainly one factor. Second factor, we have more and more sourcing. Right now, we are direct sourcing from pharmaceutical company, that certainly start to get rid of all middle layers. Also we build -- this last year we built a three [indiscernible] will share volume, will hope to get closer to our customers. That'll also reduce our costs. Also as you can see that our orders start to double -- more than double every year, and that gave us more volume shift through -- third-party logistics gave us a much better price. And lastly is we -- our systems, we have invested a lot of technology -- investment in technology, especially e-channel optimization technology to optimize our image returns, optimize our operating cost. So, the BGI systems, we believe that it will further reduce our operating cost. So, that's the first question. Second question, you asked about partnership with Eli Lilly, I think this type of model would duplicates senior partnerships with many other pharmaceutical companies. Basically we form a partnership specialized hospital, especially diabetes. And we are oldest diabetes experts or offers, registering to serve on this platform and we can give diabetes patients consultation on platform and the prescription like Trulicity. We have directly sent the medicines to patient's home or then pick up at the designated store. So this kind of partnership has been really truly [indiscernible] for Eli Lilly and us. We are both excited. They give us another job to commercialize. We are in the process of signing many, many more similar jobs with other pharmaceutical companies, so this model will be duplicated.
Unidentified Analyst: Thank you.
Operator: Thank you. We have the next question coming from the line of Rachel Yang from HSBC. Please go ahead.
Rachel Yang: Okay. Thank you for taking my question and congratulations a very strong quarter. Actually, I have three questions. The first one is on B2B business gross margin. We noticed there is a material improvement in margin. So, what we have done in the past quarter to improve the margin? And secondly is on the B2C business. So, we all understand the B2B is actually a major strategic focus, but we also know that the B2C business started to recover and started to grow in second quarter. So, what is the driver behind? And what is our strategy to develop B2C business in the future, especially considering we all -- we also have this kind of strategic collaborations with upstream manufacturer, like Lilly. So, maybe elaborate a little bit more about your business strategy. And thirdly, actually on the more general industry term. Just curious have you -- have you noticed any signs that the prescription jobs for sales outflow from hospitals has accelerated, have you noticed that this kind of trend? This is my question. Thank you.
Luke Chen: Okay. I take the first two about B2B margin and B2C. Regarding B2B margin, besides, the business growth on B2B, sales volume growth, we also seeing even faster growth on B2B gross profit. And I think there are basically three reasons. One is our direct sourcing relationship with our pharmaceutical companies, which you can understand you get much better return from those direct partnership. And secondary, our PIS systems build up as smart pricing mechanism to improve profits while without any negative impact to our sales growth and expansion. And number three, I think, it's supply chain innovation. I just mentioned, we have a JVP project. This project has attracted a number of suppliers to join. And it helped us to quickly expand our SKU, but with a very promising margins and also efficient inventory turnover. And the JVP portion of our so-called B2B business is increasing revenue. And on the B2C side, we are happy to see our B2C business back -- coming back to growth momentum. And this growth comes from our business restructure in the past year. We continue to focus on customer lifetime management leveraging our online chronic disease management system to improve customer refill rate. And we are seeing a significant improvement on the customer on-time refill rates with this chronic disease management tool which is also part of our CIM. At the same time, we have reapply our chronic disease management system and CIM system to B2B offline pharmacy customers to enable the access clinicians for the pharmacy to also help healthcare services provider. I think that will be a direction for us. Hope …
Junling Liu: Probably just that we're running out of time of briefly answering nothing. The last question was regarding in the industry, it's very timely. I think today we just saw report that the third VPP [ph] has been completed and from what we digested the high end of the discount [indiscernible] 94% and as they were making comments like, it's going to cost you more to use the water to take the drugs than the drug itself. We absolutely anticipate that the RX drugs will be outflow the more and more assets to the hospitals, and more money that’s a great position to benefit from that. Thank you.
Rachel Yang: Okay. Thank you.
Operator: Thank you. Shall we move to the next question, sir? Shall we move to the next question, sir?
Junling Liu: Right. Right. Yes. Go ahead.
Operator: The next question is from the line of Raymond Chang from SPQ Asia [ph]. Please go ahead.
Unidentified Analyst: Hi. My question -- okay. Excellent result this quarter. I have a border question. So, ask regarding the current situations, regarding the U.S. and Chinese attention, whether that would be concern to you? Whether you have any contingency plans? What is threatened delisting for U.S. securities, Chinese securities. And whether you see this trouble time any opportunity that would favor your company going forward. Thank you.
Unidentified Company Representative: [Technical difficulty] first of all, our business is not impacted by the accounting U.S. relationship. As you know that we mainly focused on the China market, although, that our market value since our listing the NASDAQ. So our market value has been impacted due to our listing NASDAQ. Also like other U.S. listed Chinese companies. So, we definitely hope that the relationship going to be improved or [indiscernible], but at the same time we maintain our community for listed we believe that it's a global market and it benefits both us and our investors.
Unidentified Analyst: Okay. Thank you very much.
Junling Liu: Thank you.
Operator: We have the next question -- thank you. We have the next question coming from the line of Marco Rodriguez [ph] from individual -- he is individual investor. Please go ahead, sir.
Unidentified Analyst: Hello. Yes. I have two questions. Number one, could you briefly discuss the company's cash position? And the second question is, what is the general outlook after the COVID-19 outbreak? And whether it had any impact on the company, both positive, negative? Thanks.
Luke Chen: Yeah. In terms of cash position, we believe we have very strong cash position. As of June 30, we have cash balance around RMB715 million. And also we just completed the new round of capital ingestion around RMB420 million. And we are more pleased to see that we are generating what we call the operating positive cash flow which means the payment we made it for the purchase and the cash received, it's much less than the cash received from the sales. So, we see that positive signs. And we fully believe with the expansion of our business scale we will see more positive cash gain from -- with this operation.
Junling Liu: Yeah. I'd probably take the second part of the question, Marco. With regards to the outlook after or post to COVID-19 or during the COVID-19, our anticipation is not this pandemic is going to create fundamental changes. And we just want to take on the advantage of one and particular phenomenon that is we bet that the Chinese healthcare industry, it's going to go through a digital transformation and that is going to be the biggest trend we're betting on. And obviously, through this pandemic people realized, or some people are forced as a patient to actually go online to receive consultation, to get to online refill and get better information because they are afraid of going to the hospitals. And in the past, there have been some resistance from the doctors because they're too busy receiving patients offline through this pandemic and all those doctors actually got a taste of using online services to care for their patients, not to talk about the Chinese government's policy shift to encourage the online players to play a much bigger role, especially in the chronic diseases area. So, I think, we're betting on those trends and we believe that 111 is very uniquely positioned to actually take advantage of those that trends. Thank you.
Unidentified Analyst: Thanks. Good luck to you going forward.
Junling Liu: Thank you.
Operator: Thank you, sir. We have the next question. This is coming from the line of Gail Wong from [indiscernible]. Please go ahead.
Unidentified Analyst: Thank you for accepting my questions. Congratulation on your great results. I have two questions. First one is that with e-com giants like Ali Baba and JD.com actively developing their online B2C pharmacy.co [ph] business. What advantages do 111 have to make us stand out from the competition? The second one is that how drug procurement reform in China will affect 111 especially for the B2B platform? Thank you.
Junling Liu: Sorry. I didn't quite catch the second question.
Luke Chen: Healthcare reform.
Junling Liu: Healthcare reform? Okay. So, we actually never compete against Ali and JD -- JD Health. Obviously, they are typically the e-commerce players. And if you look into our business, 70% of our business is actually prescription drugs. And what we do is really we provide lifetime value for chronical patients and what we really focus on to service those patients with chronical conditions. And we want to provide a platform for those patients to receive the disease related information, education, the online prescription and also online refill. So, we help the pharmaceutical companies to really manage the DOT, the duration of treatment. So -- and obviously Ali Health and JD Health have their tremendous traffic and obviously we don't have those traffic. We've got to play in different spaces. And our strategy is to really to be the integrated online, offline platform. And Ali and JD don't have really 280,000 pharmacies across the country. And our focus is rather different. And this is a very, very big market with 2 trillion run on annual basis. And I think 111 is very comfortable to find that -- a space where we do best instead of competing against those giants.
Unidentified Company Representative: Gail, let me answer the second question. You mentioned the impact of China's government healthcare reform to us, I think almost all pharmacies are in favor to us. Thinking about the new pharmacies, numerous pharmacies that were launched since last year online job sales, prescription job, lot of we sell online and Medicare insurance we have been allowed to cover online. And the encouragement of online accommodation, online job per case is I think, those pharmacies -- and more pharmacies like [indiscernible] the jobs floating out of the optimal -- the preparation of drug and then accommodation. Those pharmacies, all I think favorable to us and [indiscernible] either online or offline pharmacies. We have online pharmacies. We reconcile with 280,000 offline pharmacies. So, we really take all the opportunities, I think that -- this is great timing for us. I know that this is the reason that we shifted focus on our strategy activity [ph].
Unidentified Analyst: Thank you. That’s very helpful.
Junling Liu: Okay. Operator.
Operator: We do not have any further questions at this moment. Back to you.
Monica Mu: Thank you, operator. In closing, on behalf of the entire 111 management team, we would like to thank you for your interest and participation in today's call. If you require any further information or have any interest in visiting us in China, please let us know. Thank you for joining us today. This concludes the call.